Operator: Good afternoon, and welcome to the Wynn Resorts Second Quarter 2011 Earnings Call. Joining the call on behalf of the company today are Steve Wynn; Marc Schorr; Matt Maddox; Marilyn Spiegel; Scott Peterson. And on the phone, Ian Coughlan, President of Wynn Macau; and Robert Gansmo, CFO of Wynn Macau. [Operator Instructions] Now I would like to turn the call over to Mr. Maddox. Please go ahead, sir.
Matt Maddox: Thank you, and good afternoon, everyone. Before we get started, I just need to remind everybody we will be making forward-looking statements under the Safe Harbor of Federal Securities Laws, and those statements may or may not come true. With that, I'm going to go ahead and turn it over to Steve Wynn for the opening comments.
Stephen Wynn: Well, usually, we always say the same thing, the numbers speak for themselves. We had a great first quarter, the best in our history. And we went through it -- we were just around $400 million in the first quarter. We are $447 million this time, and that quarter was about 59% better than a year ago. And in fact, for the 6 months, we're 62% better than a year ago. We are all, in this organization, heartened by the results. On January 3, -- excuse me, on July 3, I got a phone call. I was in a different city from my colleague, Marc Schorr, and he told me that on the third day of July, we equaled in Las Vegas, our cash flow, our profits of the entire year of 2010. That was a very supercharged thing to hear, but we did $271 million last year and we hit $271 million on the third of July. So for the balance of the year, everything from here on in, in Las Vegas is improvement. And we benefited from a very favorable whole percentage. But Marilyn is on the call, and Marilyn, I think, can give a little bit more color to the Las Vegas results other than the whole percentage. You want to do that, Marilyn?
Marilyn Spiegel: Sure, Steve. Thank you. It was an amazing second quarter and we had our gaming revenues increase 35%. We've seen volume increases in Baccarat, in other table games and in slots very slightly, but we had amazing hold in our Baccarat business. And so our international marketing partners continue to send us great customers and we see a lot of improvement in that business. We are up over 75% on international customers.
Stephen Wynn: Marilyn, I want you to focus on non-casino.
Marilyn Spiegel: Oh, on non-casino, we also have a 15.7% increase and that was helped by our hotel revenue. We had $91 million in hotel revenue, which is the highest cash revenue we've ever had at Wynn Las Vegas and Encore Las Vegas. And every one of the revenue areas showed increases, even higher than the first quarter. And so we saw our food and beverage revenue increase 13%, about 2/3 of that was based upon Encore Beach Club and Surrender. We also had improvements in our catering business and both our fine dining and our casual dining restaurants improved. We had improvement in retail. Our lease stores were up 20%. Our entertainment also improved, where we had a 22% increase, mostly due to additional shows with Garth Brooks. So it was the sustainable portion of the non-gaming revenue were there for us at a 15.7% improvement.
Stephen Wynn: Thank you, Marilyn. The reason that I asked Marilyn to highlight and get that specific, which ordinarily we don't do, you can read those things. But I want to point out that in the business that we're in, you don't really sustain growth unless the non-casino part of the hotel reflects the improvement. The vitality in our business comes from the non-casino portions. After all, slot machines and Roulette tables, and Baccarat, and Blackjack tables, they're the same everywhere. They're a commodity. They have no inert power in them. It's where they are and who are the people that are staying in the hotel and why they're staying in the hotel that make the difference competitively and create the franchise in our business. So we, as you know, spend a great deal of money building buildings that are fanciful and emotionally satisfying for our guests. We designed to emotion as opposed to designing to a material. If marble and onyx help us get the emotion we're after, then we use marble and onyx and if not marble and onyx, then we don't care about marble and onyx, or handwoven fabrics or crystal chandeliers and such. Color, lighting and emotion -- the emotion of our hotels is the key to, I believe, their longevity and the franchise that they have. We really don't have much else to say except that it's nice to have good business in a period in America that's in a world that's so troubled and unpredictable. But good news is good news. And if we are running against the grain, I think probably our colleagues in Las Vegas and I know our colleagues in China are enjoying improvement. I read some of the analysts' anticipatory publications about where they thought we would come out on this quarter. And they, happily for us, underestimated it. So that's the story. We'll take questions.
Operator: [Operator Instructions] Your first question is from the line of Joe Greff with JPMorgan.
Joseph Greff - JP Morgan Chase & Co: Marilyn, I was hoping -- or Matt, I was hoping that you can sort of help us understand where 2Q Las Vegas EBITDA would be with normalized hold or give us some sort of sense of that. And then Matt, I noticed your provision for doubtful accounts went down year-over-year. Can you help us understand that and whether that was driven more out of Las Vegas or Macau? Then I have a quick follow-up.
Stephen Wynn: I'll answer that part, Joe. We collected the money and our auditors don't let us hold the reserve when we collect money.
Matt Maddox: That's right. And we're actually still 50% reserved on our receivables bucket in the second quarter, which is more than when we were in the first quarter. And on a 6-month basis, you'll still see they're about the same at $13 million year-over-year. But that's the bad debt piece.
Stephen Wynn: We've been doing this for 40-odd years and not once in any of our hotels, starting at the Golden Nugget to Atlantic City to anywhere, have we ever had to take a special charge for bad debt beyond our normal reserve. We're very conservative in giving money away for people to gamble with. We only -- we don't encourage, we don't use credit as a marketing tool. We only give credit to people who -- as a convenience to people who are well entitled to it.
Matt Maddox: And for a normalized EBITDA, it's in the neighborhood of $115 million. You can do the math. All the numbers are there. But that's about where we would put it.
Joseph Greff - JP Morgan Chase & Co: Okay, great. And obviously, the results in Macau speak for themselves. Maybe, Matt or Ian, whoever wants to answer this, it will be helpful to all of us as we're kind of learning about the increasing profitability of Macau, where do you think segment margins have gone on mass and VIP? Or where are they now? Where were they a year ago as you get the volume? You're obviously generating great operating leverage there, but if you could help us understand that or shed some light on that, that would be helpful
Stephen Wynn: Matt will answer that question.
Matt Maddox: Sure. So what I would say, Joe, we don't get into providing segment margins, but what you find is, with increasing volumes, the margins are definitely going up. And on the VIP side, with our increasing individual program win, we're seeing higher margins in VIP. We're also seeing higher margins in the mass casino as we're winning more in the mass casino and it's really across the board. So the 30% to 32% EBITDA margin for Wynn Macau feels very comfortable for us. We've been there for about 3 quarters in a row now, and that's about what I would expect.
Stephen Wynn: Competition hasn't dented us, at least not yet.
Operator: Your next question is from the line of Shaun Kelley with Bank of America.
Shaun Kelley - BofA Merrill Lynch: I just wanted to start maybe by talking a little bit more about Las Vegas. Steve, we continue to hear back from folks asking about that we're expecting kind of a slowdown in the second quarter, and then you guys posted numbers that were, I think, even adjusting for hold, probably better than they were in the first quarter despite the convention business. So could you give us your thoughts just about the trajectory of the improvement in Las Vegas overall? Obviously, you set the high end. And your thoughts a little bit about maybe July and August, what you're seeing kind of looking out a little bit further.
Stephen Wynn: Well, the improvements have a lot to do with good management at the property level, under Marilyn and Maurice and Scott and everybody else in the clan. They've been doing a really good job. July, by our predictions, based upon what our expectations rather, was good to be the worst month of the year. And we were going to experience soft to mid-week occupancy and the weekends were going to be better, but July was the black hole. August, as conventions pick up with magic show and the others around the end of the second week or the second week of the month, then we build momentum and we head into October where we're sold out, and much higher room rates, as you noticed, this year. And so we've been surprised in July by a better occupancy than we had thought. But what was surprising about it was, that it showed up in the last 2 or 3 days, really late bookings this year in July. We've been picking up an extra 5 or 6 points of occupancy, and in some cases, right Marilyn, almost we went to full occupancy surprised us...
Marilyn Spiegel: That's correct.
Stephen Wynn: All within 72 or 48 or 72 hours of the days. So July has been a surprise in that regard and a much higher rate. We did not lower our rates like some of our competitors did. We've come to the conclusion here, incidentally, I'd like to add this parenthetically, having tried this before and failed, we don't want to make the mistake again. This place is not set for price cutting. We lower the price, we can fill the rooms in an instant because there's such fancy rooms. But we get people that carry their beer in from 7-Eleven, move their own bags and don't eat in our fine dining. We can't use them. This is not a place for folks that have that kind of economy mentality. This is a place for people who expect superior service, higher quality, food, beverage and everything else. And so we price our property accordingly and we stay there. And if we lose some occupancy, well, we'll adjust our expenses accordingly, but we don't lower the price. It doesn't work for us. We tried it, and it's a failed strategy not only for us, I think for everybody. That's the overview I could give you on that. The fourth quarter looks great. And now that we're getting through July, it gets better again. But we're not doing bad. I mean, July, I took a look, we're making $1 million a day. I think that's great. Maybe anything over $20 million make me real happy in July. Marilyn, how do you feel about it?
Marilyn Spiegel: We're tracking well in July. And August, we're going to have some conventions that wasn't here last year. And as you say, October is going to be a dynamite month. We don't have an inch of convention space that we can still sell.
Stephen Wynn: So there you are. Does that help you with your question?
Shaun Kelley - BofA Merrill Lynch: That's really helpful. And then maybe one if I could just on Macau real quickly, but one consistent concern that I get back from a lot of folks is just on the productivity that you guys are doing and this kind of sparks to the last question on as it relates to the margin that you guys are able to put up. What are you doing now, as you've raised, I think some of the pricing there, the theoretical averages that you guys are doing on the Mass Market side. But what else, kind of what next are you guys able to do to continue to yield that property since you already are putting up somewhere between 2x and 3x the kind of win per tables that any other property in the market is doing than probably any other property in the world is doing? Just kind of your strategic thoughts on that would be really helpful.
Stephen Wynn: I think I'll let Matt handle that one.
Matt Maddox: I hate to give you the simple answer, but it's true. It's about the people at the table, and we keep attracting the top end of the market, whether it's in slots, Mass Market or VIP. And our tables win 50% more than the market, and our slots win 3x more than the market. And that's really it, Shaun. It's the people sitting at the tables. And as long as we're the top property in Macau, you'll see us continue to outpace the market.
Stephen Wynn: Actually, we've been outpacing the market for 40 years. We had the highest win per foot in spite of being the smallest casino in Atlantic City, we made more money than everybody else. We were 168% of the average yield per foot. We were the #1 place in downtown Las Vegas. And as near as I can recall, ever since we opened Mirage in '89, one of our properties has been the top one in Nevada, and then we took our act to Macau, so we've only been there. So we're consistent. We deal to a certain market segment. We're comfortable with that market segment. We think we know those people, our guests. We know what they expect and we manage to make promises that we can keep. There's always a temptation to make big promises or to talk about big promises and then when you don't deliver, it's painful. September will be our fifth anniversary in the People's Republic of China in Macau, and we love it there. We are so grateful to be part of that market and to be allowed to participate in that community. We find the political environment, the regulatory environment, the human resource environment that we're in to be absolutely delicious. Life is quite straightforward in China. The government is predictable. Our employees are eminently trainable. They're anxious to please. They have a fabulous attitude, whether they're local Macau people, mainland Chinese people, folks from the Philippines, they're just wonderful and all of that's come together to help us deliver the kind of product that we've always been delivering. We've got -- Marc, I don't know if you can hear Marc, Marc pays special attention with Linda Chen to our relationships with our junket partners, and they are doing a fabulous job. And as you know, most of those junket operators are everywhere. They're not just with us. So what you learn from that is that junket operators need to be everywhere because they service people that move around. But we do better because at the end of the day, it's the establishment that brings the people. It's the staff and the employees that keep those customers wanting to come back. And then the junket operator can service them, of course. But it's the employees, it's the people that -- it's only people that make people happy. Not the stuff. It's the people. And our specialty has been our human resource stuff.
Operator: Your next question is from the line of Mark Strawn with Morgan Stanley.
Mark Strawn - Morgan Stanley: Any updates to your Cotai project timeline or the land granting process there?
Stephen Wynn: The land granting process is continuing. We are cooperating with the government and moving along very nicely. And we're conducting our soil research in preparation to the foundation beginning when the final granting takes place, and we're moving right along nicely and on schedule. With the property that -- it's hard to take seriously what any hotel developer says about their own stuff. But I am going to say this about the Macau project, which we're going to show everybody. It's finished. We have it drawn. We have it rendered and all that stuff. We're finishing the modeling of the scale model. But the hotel is another generation of an integrated resort. It is a category breaker. And since we've had -- I've been doing this for 40-odd years, and with DeRuyter Butler, my design partner, and Roger Thomas, the 3 of us are the ones that do this. And we just finished a session about 15 minutes ago, and this is going away another dimension of work that we've done the last 2 years. This project is going to justify the time it took to create it. It's a humdinger. We will definitely help Cotai keep the promise and Macau keep the promise that the government has set. And that is to broaden the appeal of Macau, to make it the destination resort in terms of entertainment, shopping, food and beverage, and conventions in all of Asia. And I promise you that when it comes to those elements, of entertainment, conventions, food and beverage, service and hospitality, and iconic architecture and design, that the Cotai project is by an enormous amount, the best work we've ever done. 1,500 rooms, virtually all suites, 500 table games, big theater, public entertainment in virtually every part of the building, a full range of restaurants and stores, a lot of exterior and interior public entertainment, as well as performing arts in a big theater, access and the movement of people, we've learned new things. And you know, again, we are benefiting tremendously from the fact that we have been in China nearly 10 years and we know these customers now. We're dealing from our own deck, from our own experience as opposed to learning from Lisboa or learning from Peninsula as we have been doing up to now. And that's a big thing for us to be able to draw upon our own deeper experience, to create and respond in ways that will be very resonant with our customer base. End of answer.
Operator: Your next question is from the line of Jon Oh with CLSA.
Jon Oh - Credit Agricole Securities (USA) Inc.: Just a quick question on the competitive landscape especially in your VIP segment. How do you see that shaping up at least in the last 2 months since Galaxy Macau's recent opening?
Stephen Wynn: We don't pay much attention to that actually because we can only make money in our own building, and that's where we think the struggle has to be met and won. So if you look at the numbers as we do, you'll see that the competitive landscape for us is delightful. The other places, I think, are doing very well, in addition. And that's very good news. You want to be doing well in an environment where other people are doing well and doing clever things. I was impressed with Galaxy when it opened. I went to visit it with my colleagues, and I congratulated my friends in that organization and I have many of them from the ownership to the management level and I think they did a great job. I think Galaxy, for example, represents or it shows you what happens when organizations mature. Galaxy was built by the Lui family and that organization includes my friend, Mike Mecca, Galaxy was built after everybody had learned a lot about the people and what the people want. And Galaxy is responding to that. Naturally, in a big brand-new property like that, they learned and after we open these kinds of places, we adjust and amend them because no matter how long you work on the plans, when they open, they take on a life of their own. And sometimes, part of that life is that you get surprises, good and bad. Venetian is doing great as far as we can see. City of Dreams has kept its promise, I think. I talk to Lawrence and Jamie Packer all the time. I think everybody's pretty happy. Not to say that we're not dealing with some of the infrastructure issues that occur, but the Venetian group have their ferries running and really, clicking away, bringing people to the Cotai side and those boats were well needed. So there was something where the Venetian invested a lot of money in order to have capacity, that basically was built for the future, and that future is coming through very rapidly and it's a good thing we've got those ferries. And I think the final work on all the ferry terminal construction on Cotai is soon to be completed in the beginning of '12. But in the meantime, it's working, thousands and thousands of people are coming every day on those boats. As they do on [indiscernible] boats over on the Peninsula. So the town is keeping up with itself at an amazing growth rate. And I think that Macau in the end is going to end up being exactly what the government wanted it to be, the great destination convention, hospitality center of Asia.
Operator: Your next question is from the line of Harry Curtis with Nomura Securities.
Harry Curtis - Nomura Securities Co. Ltd.: So 2 quick questions. First of all, in Vegas, I'm interested in over the last 6 to 12 months, how your mix has changed? If you could make some comments about the quality of your customer base today versus 2006 and '07. And then turning to Macau, you build buildings where you generate excess demand, so why not bigger than 1,500 rooms and/or will you at least be able to have a pad so that you can expand or a podium to expand that beyond 1,500 rooms?
Stephen Wynn: We do have room to expand, I'll answer the last part of the question because I'm on it at the moment, we do have room to add more. We were thinking also of doing something that's a little off the track, but it has been suggested to us in the past that it would be wonderful to have a reasonably-sized hotel, a few hundred rooms, that does not have gaming, that is conveniently located, so that government officials and others can come to Macau, enjoy all of the non-casino attractions without staying in a gambling hall. As you know, politically, that's a sensitive issue. Politicians don't go in casinos in China after they are open. And so I'm thinking that I'd like to maybe help meet that demand. And of course, rooms of that sort also are integrated and would be integrated with our convention facilities. And as far as why we didn't build more than 1,500 rooms, you know, Harry, we have height restrictions because of the nature of the location of Cotai. And then we have restrictions that are imposed upon common sense dynamics of design. How long are the hallways? How far do people have to walk? We've got population getting older. Room service, baggage, housekeeping that has to service these rooms. And we have rules about we don't want hallways that go on forever. So when you balance size and then we make bigger rooms. In Cotai, I would tell you, I don't know if you've ever been in, it's a modern hotel, it has a 6-foot wide hallway going to the rooms. When you go to 8, that's like the villas at Wynn in Las Vegas. Our regular rooms in Cotai have 8-foot corridors, which are very palatial. They have 11-foot ceilings in regular rooms. I mean, we decided that it was quality, not quantity. There are an awful lot of active buildings under construction now in Macau being offered by our competitors that are undoubtedly good jobs. We remember who we are, so we're going to cater to the 1,500 guests a day and 1,000, 2,500 rooms between 2 places. And as we grow and the market allows, we are having much more convention space than we've ever had before, but we have room to expand our convention space and our rooms for the conventioneers as we go along. But I keep an eye on the Venetian, for example, which has 2 hotels under construction that are more reasonably priced than a Four Seasons or a Wynn. And so we sized the place for quality. Bigger is not necessarily better. Better is better. That's the answer to that. In Las Vegas, I'll let Marilyn answer. Marc should answer.
Marc Schorr: Domestically, we're seeing the same '11 [ph] as we did in 2006 in most of that [ph]. The big increase in 2011 has been our international business because our brand is growing so in China, people are recognizing Wynn. So when they travel to America, the place they to go to is Wynn. So we're seeing a much broader market internationally, this '11 versus '06 and '07.
Harry Curtis - Nomura Securities Co. Ltd.: And China represents over 75% of the international mix change, do you think?
Stephen Wynn: Yes. Right.
Operator: Your next question is from the line of Robin Farley with UBS.
Robin Farley - UBS Investment Bank: I have a question on, Steve, you made some public comments about interest in Singapore and I wonder if you could talk a little bit about whether you had initial discussions and given that [indiscernible] until 2017, whether it's too early to have discussions and kind of what your view is on that?
Stephen Wynn: Naturally, anybody would be interested in Singapore. It's such a great place to be in business. But really, Robin, I don't really have anything constructive to add. As you point out, that market is dedicated to an exclusive arrangement for the next 5.5 years. And so I think that it's easy to say that Singapore is exciting, and it is. If we were ever given the chance to be a business in Singapore, we'd be thrilled and delighted to bring our best work there. But that's not a decision for us to make. That is something that will take its course in the future.
Operator: Your next question is from the line of David Katz with Jefferies.
David Katz - Jefferies & Company, Inc.: I wanted to ask about Las Vegas, if I may. And just looking at how strong the performance has been, what is your perception about how the rest of the strip is competing? And I guess I'm wondering, the properties are what they are and perhaps other competitors on the strip may not have had the same capital resources available to them and whether or not you might be perceived to be taking some share...
Stephen Wynn: I don't know -- we finished the last of our, I think we have a few more rooms -- I think we have 11 or 12 villas that are being finished next month in the month of August. But we just finished $100 million worth of remodeling, and another $100 million of additions and improvements. We invested in this company in the last 24 months, $200 million. Thanks to our investments in China, we were able to benefit America. Not exactly what you hear if you watch a White House press conference. But China has made it possible for us to strengthen and protect our employees and strengthen our business in Las Vegas. I had the pleasure of having dinner Thursday night, I think it was Wednesday or Thursday, Thursday night, with Marilyn Spiegel and her husband, Tom, and Miriam and Sheldon Adelson. And we had a great time. But we -- Sheldon and I didn't get into discussion of the last quarter. So now that I think about it, I wish I'd asked him. But I think they'll be giving their earnings and you'll be hearing from MGM and Harris pretty soon. I honestly don't know, but my guess would be that everybody is doing better this year than they did last year. Marc, you've talked to those guys...
Marc Schorr: From everything has been strong at this quarter over last quarter especially...
Stephen Wynn: So the second quarter is better than the first?
Marc Schorr: No, the second quarter is better than the second quarter a year ago.
Stephen Wynn: Last year? Yes, I see. Did you hear that David?
David Katz - Jefferies & Company, Inc.: I did and I guess I wish you would ask also. And if I can just follow-up with one more. Recognizing that groups and conventions and so forth are not your -- not as important for you as they may be for some others...
Stephen Wynn: It's getting more important all the time.
David Katz - Jefferies & Company, Inc.: Okay. How would you say your sort of next year is setting up from a bookings perspective?
Stephen Wynn: Las Vegas, David? Marilyn?
Marilyn Spiegel: So for 2012, we're tracking on pace with where we were in 2011 for room nights. We're obviously pushing a little rate. But we think it will be a good convention year in 2012 also. We've grown convention this year, of course, over '10.
David Katz - Jefferies & Company, Inc.: But it sounds like the upside would be from price?
Marilyn Spiegel: Correct. And you also have to remember, we have a few things. You have some big-city wides that aren't going to be back in Las Vegas in the first quarter like CONEXPO, you've got a difference with Chinese new year and Super Bowl. Last year, they converged on a singular weekend, and this year, they'll be a different time. So they'll take 2 weeks of convention space out of the component.
Stephen Wynn: And that's a great thing, when Super Bowl and Chinese New Year run separate weekends, we hate it when they're on the same weekend.
Marc Schorr: Another Marilyn, we'll also have more rooms available because we were doing the remodel in most of '10
Marilyn Spiegel: That's right.
Stephen Wynn: Yes, we had 8% or 10% of the room nights out every -- wasn't it, Marilyn, about 8% or 10% as we rotated through the building?
Marilyn Spiegel: Consistently, yes.
Stephen Wynn: So that's 400, 500 rooms here.
Operator: Your next question is from the line of Bill Lerner with Union Gaming.
William Lerner - Deutsche Bank Securities: Steve, just 2 development questions for you. One in Macau, one in Vegas. Does it -- maybe you're already contemplating this formally, but does it make sense to build residential or villas in Macau, #1? And then #2, in Vegas, especially as I hear Marilyn talk about, a month like October for example, that there's not an inch of meeting square footage left in Las Vegas and as we think about limited or no supply over the next several years, being added back to Las Vegas, does it not make sense to expand your meeting square footage? I know you can do it east of country club or in that area?
Stephen Wynn: Well, here's our problem. There are a host of opportunities for expansion in Las Vegas, a host of opportunities to create tens of thousands of jobs in Las Vegas. I know that I could do 10,000 more myself and according to the Chamber of Commerce and the Visitors Convention Bureau, if we hired 10,000 employees, it would create another 20,000 additional jobs for a grand total of 30,000. I believe in Las Vegas. I think its best days are ahead of it. But I'm afraid to do anything in the current political environment in the United States. You watch television and see what's going on, on this debt ceiling issue. And what I consider to be a total lack of leadership from the President and nothing's going to get fixed until the President himself steps up and wrangles both parties in Congress. But everybody is so political, so focused on holding their job for the next year that the discussion in Washington is nauseating. And I'm saying it bluntly, that this administration is the greatest wet blanket to business, and progress and job creation in my lifetime. And I can prove it and I could spend the next 3 hours giving you examples of all of us in this market place that are frightened to death about all the new regulations, our healthcare costs escalate, regulations coming from left and right. A President that seems -- that keeps using that word redistribution. Well, my customers and the companies that provide the vitality for the hospitality and restaurant industry, in the United States of America, they are frightened of this administration. And it makes you slow down and not invest your money. Everybody complains about how much money is on the side in America. You bet. And until we change the tempo and the conversation from Washington, it's not going to change. And those of us who have business opportunities and the capital to do it are going to sit in fear of the President. And a lot of people don't want to say that. They'll say, "Oh God, don't be attacking Obama." Well, this is Obama's deal, and it's Obama that's responsible for this fear in America. The guy keeps making speeches about redistribution, and maybe we ought to do something to businesses that don't invest or holding too much money. We haven't heard that kind of talk except from pure socialists. Everybody's afraid of the government, and there's no need soft peddling it, it's the truth. It is the truth. And that's true of Democratic businessmen and Republican businessmen, and I am a Democratic businessman and I support Harry Reid. I support Democrats and Republicans. And I'm telling you that the business community in this country is frightened to death of the weird political philosophy of the President of the United States. And until he's gone, everybody's going to be sitting on their thumbs.
William Lerner - Deutsche Bank Securities: How about on the Macau residential side? I don't know if you can, I suspect you want to, and it would makes sense to. But can you build residential as part of your project? I guess you can.
Stephen Wynn: We could, but the government told us they didn't want residential apartments on Cotai. They made a very specific mandate about that, that Cotai was supposed to be for the hospitality industry, not for residential. I think that the Venetian has been able to, if I understand correctly, with the service apartments that maybe they're causing us to have a change. But in the early stages of Cotai, we were instructed in a contrary way by the government of Macau. And incidentally, I'm going to stay on this point for another minute. If the government -- if the administration in Washington isn't frightening the dickens out of those of us who create jobs and build buildings and make lives for their employees, they are attacking China where, in the case of my company, the vitality of capital to improve Las Vegas has come from. It's the double whammy. American companies that have ventured abroad to broaden their markets are bringing money, have reinvested much of that in America. And so the rhetoric about offshore capital, there'd be a lot more of it brought back here if the government did intelligent and encouraging things to bring capital back. But this is a very business, job creating, unfriendly administration, and that's the plain truth of it. And so you know when you want to build condominiums, why? You want to protect yourself in this environment. Everybody's in a defensive crouch, except for Jim Immelt [ph], who is sort of a Judas goat.
Operator: Your next question is from the line of Tom Marsico with Marsico Capital Management.
Thomas Marsico: I was impressed with the results in Las Vegas given the consumer confidence numbers that have been coming out over the last few months and I know that you speak to a lot of different business leaders. And is there a difference among your customers that you're seeing this level of business given the terrible consumer confidence that we're seeing across the country?
Stephen Wynn: Tommy, we're getting a lot of our benefit in retail, food and beverage, hotel and gaming because of the international business that's coming here. These gaming companies, certainly ours, are big exporting enterprises. We're offsetting a lot of those imports that people talk about. Foreigners, people with non-American passports, mainly Asians, mainly Chinese people, come to the United States, if they can get through Homeland Security without too much misery, if they can get a visa, they come to the United States and they leave their money here. They are generous and tasteful. They shop for fine products. They eat good food. They tip well. They create job opportunities here. And...
Thomas Marsico: It's been my understanding that the visa process for the Chinese to come to the United States is more difficult than it is to go to other countries such as France where they've seen a tremendous impact of the Chinese going to Europe. Do you see any changes or have you been in discussion at all with the Commerce Department as far as trying to ease those restrictions?
Stephen Wynn: Yes, well, as a matter of fact, Tom, you're quite correct. Coming to the United States is tougher than going almost anywhere else in the world. Homeland Security has -- we seem to have been safe more or less, but so much of it is excessive and irrational, like patting down babies and old ladies and stuff like that. But it is very difficult. It's more difficult today to get to the United States for people who've been coming here for years, for decades. Our customers that are big businessmen that have been coming to America for 10, 15, 20 years are asking us for help to relieve the bureaucratic congestion of government over regulation in this area. We've talked to Homeland Security. They are aware of the problem, so is Customs and Immigration and the State Department. And when we talk to any given individual in those organizations and those bureaucracies, they're very sympathetic and they know the truth of the complaint. And they know the truth of the fact that these things are very often excessive and unnecessary. But yet, there seems to be a tremendous amount of inertia to move government in America, whether it's the deficit management and coming to some kind of logical conclusion before August 2 or whatever it is, or whether it's getting visas. Everybody has a clear understanding of the problem, but when it comes to our government, it seems to be getting more and more sclerotic, more and more inflexible by its own device, it keeps growing and growing and getting more and more onerous, more and more sluggish in its responses to real problems, and sluggish in its ability to take advantage of real opportunity. And it's frustrating for me because I got a front row seat.
Thomas Marsico: One of the things that I've noticed is that the governors of the state seemed to be taking more interest in trying to get their states moving forward in changing business practices and I was listening to the governor from Massachusetts, a Democratic governor saying that they just moved to #6 on the CNBC easiest place to do business, whatever that's worth. But I know that there had been some interest discussed by street analysts of the potential of gaming in Massachusetts other than Native American gaming. Could you update us on that if there's anything there?
Stephen Wynn: Well, it's interesting that Massachusetts is really seriously considering legalization of some form of general casino gambling, and naturally, like we watch Texas and Miami and Florida rather, we watch Massachusetts and we're keeping a close eye on that. When and if the government moves, as they've suggested they're going to do in September, we'll be anxious to see the form and the business opportunity that's inherent in that legislation. And if it represents business opportunity, then we would try and explore options in that marketplace. I was surprised, Tom, incidentally, when you mentioned governors. I was amazed and delighted and I am very respectful of the work that Governor Cuomo has done in New York. He's a Democratic governor that's showing the kind of leadership that I wish we had in Washington.
Thomas Marsico: Just one other question, the balance sheet is amazingly strong. Your thoughts on dividends near the end of the year on specialized. I saw you took up the regular dividend, which we appreciate.
Stephen Wynn: Well, we always look for opportunities to distribute money to our shareholders. And I know that because I'm familiar with the investor basis that covers 70% or 80% of the ownership of this company and I know that everybody agrees with you. So what Matt does at the end of the year, he takes a look at the landscape. We go through a vigorous process of -- our Board does, our Board of Directors is very fastidious about this in making sure that we've crossed all the T's, dotted all the I's, anticipated our financial responsibilities. And then we come up with a number that we think is available for a dividend or even a special dividend. In the last few years, as you know, Tom, it's amounted to like $26 a share, which is twice what we went public for. And I'm hoping that, that will continue. Again, Tom, you're a keen observer, what's going on. You tell me what to expect in Washington in the next 30 days and you get paid -- you get the blue ribbon.
Thomas Marsico: I think people are getting pretty tired of both parties acting the way that they have. And I would agree with you, the lack of leadership from the President. I'd like to see him more involved.
Operator: Your next question is from the line of Steve Kent with Goldman Sachs.
Steven Kent - Goldman Sachs Group Inc.: Just on some of the details from the quarter. It looked like the slot win per unit per day was much higher in Macau than last year. And maybe if you just talk about the change in the customer there on marketing or product. And then...
Stephen Wynn: Sure. Mr. Schorr is here and these are things that are near and dear to his heart.
Marc Schorr: Basically, it's the same customer. We have less equipment on the floor, so that's what's going to drive up the win per unit. It's as simple as that.
Matt Maddox: And the market obviously grew a lot, and we continue to get the high-end of the market.
Stephen Wynn: You see, more is not necessarily better if we improved the layout of our floor, we make the place more user-friendly. We're not fixed on flooding the world with gambling devices. We're much more interested in creating places where people enjoy spending time. And if they want to gamble, well, then, that's their business. That simple mentality works for us.
Marc Schorr: Quarter-over-quarter, we're at 12% down on equipment and 40% up in win.
Stephen Wynn: That's a little better than redistribution I think. The better customers gravitate to us.
Steven Kent - Goldman Sachs Group Inc.: Marc, maybe you could then comment about Vegas then where the net slot win was down in Vegas even though, the handle was up. Was there some accounting or a number issue there that I've missed?
Marc Schorr: No, it was just a different mix of people this year over last year. That's the difference on our special events. Marilyn, do you have any...
Stephen Wynn: We get -- maybe we get a fewer big customers. And then in one particular quarter, and you know here, they play very high on the slots. We got $10,000 slot machines where each -- you get to put $30,000, you can one pull can be $30,000. And if a customer gets lucky, they win $500,000, $600,000, $800,000 a day. It's still a gambling hall. But Marilyn, you can give your take on that.
Marilyn Spiegel: We've done a lot of work in the second quarter on the slot floor. We've tried to buy some new units, do some conversions, change out the poker mix, change the participation. And so given that, we've had some customers that were, frankly, may not find their same game that they wanted. And so we're changing the floor up to make it more comfortable and be more profitable.
Operator: Your next question is from the line of Mario Gabelli with Gabelli & Co.
Mario Gabelli - Gabelli & Company: Steve, you've witnessed the transformation of Las Vegas several times over. As you're looking out over the next 5 years, other than online gambling, I'm still trying to figure out, what else changes. We had some good change, we had some bad.
Stephen Wynn: Matt, what do you think about Mario's question?
Matt Maddox: What I would say is that we continue to monitor the rollout of gaming expansion in Asia and I think that over the next 5 to 10 years, you could see what happened in the United States in the '90s continue to happen over there. And that's where we're positioning a lot of our efforts.
Mario Gabelli - Gabelli & Company: All right. Let's kind of -- let's reverse the question then, and that is, are you in a position of commenting on whether you considered optioning out land today 5.5 years earlier than a potential start date?
Stephen Wynn: No, Mario...
Mario Gabelli - Gabelli & Company: In obviously some of those markets that others are interested in?
Stephen Wynn: Mario, I think what's going to happen, as it did in Macau, the government makes -- these are very high-level political decisions and it requires consensus, the government makes a decision, let's use Macau as a perfect example of what I think will happen elsewhere. They make a decision to proceed to change the rules to allow casino gaming, integrated resorts, convention, and entertainment and all the rest. And then they take presentations from qualified people like the Sands Corporation or any of the other fine companies, or Genting, or ourselves or [indiscernible]. And then they have in mind where they wanted to be. It isn't driven by your ability to have a piece of land. I had no land when we got the concession in Macau, but the government said, okay, we want to start on the peninsula here. Sheldon Adelson was given property in Cotai because he dreamt up the idea of the Cotai Strip. If they do that in other countries, I believe that the most important thing is that you have the credential to participate and respond to what the government needs. These decisions will be made because they want to increase tourism, they want to create jobs or they want to raise some money in taxes or a combination of all 3. When they change the law, they will invite people to present their credentials. They will pick somebody and then they will make it possible, Mario, for you to have the right location. So I don't think it's a question of getting a piece of land. I think it's about relationships and your reputation.
Mario Gabelli - Gabelli & Company: I was trying to open the gate for you to comment on it. The final, and I'll get off, is the notion of the debt in Las Vegas, let's say, is $1.8 billion and you have [indiscernible] coming up which will be paid out of the cash out of Las Vegas. Let's assume you pay some numbers out. What are your options with monetizing, if anything, part of your non-U.S. asset base to shift where the debt is and the debt service and the cash flow items?
Stephen Wynn: Well, why do we want to shift the debt? That non-recourse debt in each of our subsidiaries in the parent company owes nothing, not a penny.
Matt Maddox: That's the key. We make sure the parent has no debt and lots of cash.
Mario Gabelli - Gabelli & Company: So the debt we see for Las Vegas is nonrecourse, but on the books, not of the holding company, but of the various operations? [indiscernible]
Stephen Wynn: Wynn Resorts, the company that I tried to get you to invest in, or maybe you are invested in I hope, because you were with me all my life before here. Wynn Resorts has debt of 0, and has had a debt of 0 for several years, and we intend to keep it at 0. We have all the capacity to do any deal we want. See, by having a lot of cash in the parent, we can go to a new jurisdiction, infuse a subsidiary with a prudent amount of equity, make an intelligent loan that is got a reasonable ratio to the project cost, have low interest rate with long maturities. So we don't get in the kind of trouble that our neighbors up the street have gotten into trouble on a couple of occasions. So that's why we keep the money in the parent, the debt in the subs and always the debt should be reasonable compared to the cash flow. We don't want to be -- Mario, let's go back to 2002 when we went public in 2005, when we opened Wynn, the project was $2.7 billion. We had $1 billion in cash that went into that project before $1 of debt was put into the construction. And then we had $1.7 billion in debt. Well, with $2.7 billion, $1 billion in equity, and $1.7 billion in debt, you can hardly call us overleveraged. And I like that. We like that conservative approach because it gives us a lot of flexibility and it gives us peace of mind, and we can protect our employees. We can protect our service levels. We could take good care of our properties, even if business is lousy and the President doesn't like us.
Operator: Ladies and gentlemen, we have reached the end of the allotted time for questions and answers. I will now turn the call back over to Mr. Maddox for any final comments.
Matt Maddox: Thank you, everyone. That's the end of the call.
Operator: Thank you all for participating in today's conference call. You may now disconnect.